Operator: (Operator Instructions) Welcome to the General Electric First Quarter 2010 Earnings Conference Call. I would like to turn the program over to your host for today’s conference, Trevor Schauenberg, Vice President of Investor Communications.
Trevor Schauenberg: We are pleased to host today’s first quarter 2010 earnings webcast. Regarding the materials for this webcast we issued the press the press release this morning and the presentation slides are available via the webcast. The slides are also available for download and printing on our website at www.GE.com/investor. We will have time for Q&A at the end. As always elements of this presentation are forward looking and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that light. For today’s webcast we have our Chairman and CEO, Jeff Immelt, and our Vice Chairman and CFO, Keith Sherin. Now I’d like to turn it over to our Chairman and CEO, Jeff Immelt.
Jeff Immelt: On the overview page; we think this was a good quarter. Our environment continues to improve; we saw some encouraging signs in places like revenue pasture miles and losses declining in GE Capital. The business model is performing, we’ve got better margins and strong cash flow, and really most metrics GE Capital improved in the quarter, Keith will go through that, losses, delinquencies, and not earning assets all declined. We think the 2010 framework remains achievable really with upside potential based on how we’re doing at GE Capital. We see earnings growth for the balance of 2010 and we might do more restructuring and financial asset sales to position for the future. We continue to invest in research and development and restructuring and we really think this quarter is a pretty good testament to our ability to grow earnings and dividends in 2011 and beyond. We feel really good about how we finished the quarter and where we’re positioned. We’ve review the next page on several times vis-à-vis GE Capital and some of the critical metrics around safe and secure. Our long term debt funding is in great shape, we’ve funded about $8 billion year to date, the funding costs are low and we feel very good about how we’re positioned here. Our commercial paper is on track. Leverage, particularly, Keith will go through the impact of FAS 167, is declining, our capital structure is very strong. The lower right really just updates our goals on ending that investment; it factors in the impact of FASB 167, the impact of the GE Capital Corporate, some of the FX plusses and minuses that change over time. If you put in those factors we stand at $516 billion today. We reduced $22 billion in the last quarter and we’re on track, I think for a number that we used to talk about as being $440 billion as we go through these changes. We’re on track; we’re actually ahead of plan there. It boils down to about $20 or $25 billion reduction per year and we feel like that is in great shape and we’re making good progress towards those goals. We $17.1 billion in order, the backlog is stable. Equipment is heading towards easier comps. Service really would have been flat except for a couple of one time orders in transportation last year. We’ve got a strong pipeline of commitments. A lot of our new orders are coming from outside the United States, a strong pipeline of commitments. There’s a $1.2 billion Iraq order that has moved through their process, it’s a solid commitment that will turn into an order in the second quarter. That gives you a sense of some of the backlog that we’ve got on orders going forward. Like I said, a lot of the orders are coming from outside the United States right now. The Tech Infra macro environment is improving and we feel really good about the backlog, the visibility and our position as we go through the remainder and balance of the year. Margins were healthy in the quarter; we had expanding margins ex the Olympics. This gives you a sense of the dynamics; energy, healthcare, home and business solutions had good expansion. Our service margins across the company expanded by 250 basis points, and NBC because of the Olympics was a drag on margins overall. A lot of that’s driven by a positive value gap. We’re holding price in backlog, we’re seeing positive new order pricing on the index and still getting deflation and we think this positive value gap will continue into the future. Restructuring benefits continued to payoff. We saw about $500 million based on a lot of work we’ve been doing in the last few years and that will continue into the future. We’re investing more in research and development. We grew R&D spend by 16% in the quarter. We’re launching Offshore Wind, new healthcare products, energy efficient product in Transportation and appliances and again a great pipeline of products as we go forward in the future. Cash flow remains on track, we’re on track for $14 to $15 billion for the year. Our cash flow from operating activities expanded greater than our net income plus depreciation and we think as we work through the year working capital improvements will offset declines in progress, that’s what we did last year and we think we’ll do that again this year. We’ve got $70 billion cash on the balance sheet, more than $10 billion of cash on the parent and as I said we’re on track for $13 to $15 billion of full year cash flow from operating activities. With that I’ll turn it over to Keith to go through how we did in the first quarter from a performance standpoint.
Keith Sherin: I’m going to start with just the consolidated results summary as always. For the quarter we had continuing operations revenues of $36.6 billion they were down 5%. Our industrial sales at $23.5 billion were down 2% a little less than the average because of the financial services were down more, at $13.2 billion down 9% reflecting some of the dispositions we did last year plus the continued shrinkage that we have. We earned $2.3 billion in net income which was down 18% and for earnings per share we earned $0.21 a share including the cost of the preferred dividend. As Jeff just covered on cash the total cash flow from operating activity was $2.6 billion that’s in line with our expectations and on track for a total year estimate. In terms of taxes, the consolidated rate for the first quarter is 15% for the company that’s up from -12% in 2009 since we don’t have a repeat of last year’s first quarter decision where we agreed to permanently reinvest some prior year earnings that was $700 million one time benefit last year that doesn’t repeat. Having that item not repeat pretty much explains all the tax variance for the whole company first quarter ’10 versus first quarter ’09. GE tax rate is basically the same as ’09. We expect the GE rate for the full year to be in the mid to high 20’s a bit lower than what we had in the first quarter. The GECS rate for the first quarter goes from a large positive rate in 2009 to a large negative rate in 2010. The negative GE Capital rate in ’10 reflects the fact that we have a tax benefit or a credit which is larger than the pre-tax income amount. However, it’s significantly lower than the credit that we had in the first quarter ’09 almost $800 million lower tax credits in GE Capital even with the $600 million of income we generate so a big improvement. On the right side are the segment results. Our industrial businesses ex. Media had $2.9 billion of segment profit; you can see that’s down 4% from last year similar to our fourth quarter results. I’ll cover more on each of these businesses in the next few pages as always. NBC Universal was down driven by the Olympics; I’ll show you the impact of that. GE Capital earned $607 million down 41% but with positive pre-tax income, lower tax benefits and better credit profile, which I’ll describe in the next several pages. Before I get into the business highlights, here’s a summary of the first quarter items that impacted our results. As you can see, the items are significantly less than we’ve had the past several quarters. First, we did continue to do restructuring in the first quarter and we had $0.02 after tax restructuring and other charges and we’re investing in reducing our footprint, lowering our cost structure. The major businesses where we had the restructuring, GE Capital had about $60 million of this, Home and Business Solutions had $32 million, Energy Infrastructure had $22 million, and Tech and NBC were less than $10 million each. The balance was in Corporate, we had some environmental projects that we funded and if you look at the biggest projects in the quarter we had some business exits and non-core banking in GE Capital and some equipment leasing platforms in GE Capital. We also continued footprint reductions in lighting and energy. Our gains in the quarter were driven by really two things, we had a sale of the Security business which closed in the quarter, contributed about $0.01 and we had a few other transactions that’s primarily a licensing income aviation transaction related a service job in China that was a little less than a full cent. Down in discontinued operations, as you know, in the third quarter 2008 we sold our finance company in Japan to Shinsei so since then we basically have an agreement where we share losses up to a certain amount. We had a $380 million reserve increase in the quarter on the Grey Zone liability for discontinued operations. Basically we update our models every quarter and the second quarter last year we added about $130 million to the reserves based on the claims we saw at the time. If you think about the economy in Japan has been very tough. In addition, there’s recent and upcoming legislative and regulatory changes that are affecting Grey Zone claims in Japan and we saw increases in our overall claims over the last several months, as a result we updated our models, we booked to a range of what we think might happen in the future and we’ll keep you updated as we continue to monitor Grey Zone events going forward in Japan. That’s discontinued operations. I’m going to start with GE Capital. Mike Neal and the team, we think they had a very good quarter considering the environment we’re dealing with, the tough comparisons to actions we took last year in the first quarter that don’t repeat. Revenues at $12.3 billion were down 10% driven principally by the Penske disposition last year; we no longer consolidate that and get the revenue. Segment profit of $607 million was down 41% but we more than offset the impact of $750 million of one time positives last year from tax credits and that Penske gain. We offset those one time items with lower credit costs, higher core income, lower SG&A costs and better margins. I’ll cover more of that by each of the businesses. Assets of $617 billion were on a reported basis up 1% but that includes the impact of consolidating $31 billion of assets from FAS 167 so really the business shrinkage offset that, also $29 billion from foreign exchange translation year over year. On an operating basis the team shrunk GE Capital by over $53 billion over the last 12 months, and with collections exceeding originations ahead of plan as Jeff said. If you look at some of the individual businesses on the bottom left, I’ll take you through pieces on each of those. First, the Consumer business earned $593 million in the quarter that was down 20%, the US business had an excellent quarter. Tax credits were down $530 million year over year in Consumer and those were mostly offset by lower credit losses of about $375 million and $100 million of lower costs. Our North American Retail Finance business earned $293 million up 70% that’s driven by lower credit losses. Banking earned $183 million that was basically flat it was down 2%. Our UK home lending business earned $40 million in the first quarter which was another positive time and we earned a little over $100 million in Australia in the consumer business in the quarter. Real Estate had a loss of $400 million in the quarter. While that’s better than the $493 million of loss that we had last year in the fourth quarter we’re still in a very challenging environment. We had $137 million of after tax credit losses on our debt book and we had $387 million of after tax marks and impairments driven by our equity book. We are seeing some signs that the expected continued valuation declines are abating, however, if you look at real estate we expect this to remain under pressure for the foreseeable future. Commercial Lending and Leasing business had a good quarter. CLL earned $232 million that was down 3% but that’s where we had last year’s $285 million gain from the Penske transaction so be down only 3%, Dan Henson and his team almost overcame all of that with $139 million less negative marks and impairments and $100 million growth in core income including again lower credit costs. GECAS had another great quarter; earnings of $317 million were up 21% driven by higher core income and a few aircraft sales. We ended the quarter again with only three aircraft on the ground so good credit quality, portfolio quality there. Energy Financial Services also had a great quarter driven by about $80 million of higher gains from the sale of some Marcellus Shale gas rights. On the right side of the page if you look at some of the dynamics, our funding is in great shape, as Jeff showed you. Our spreads have come in significantly, our origination is strong, we completed over $7 billion of commercial volume in the quarter about a 3% return on investment. We’re really pleased with the pre-tax pre-provision improvement; you can see the numbers here. Overall, GE Capital Corp. had $200 million of positive pre-tax income overall which is a great sign and a positive as we go forward. Our credit losses are down from $2.9 billion in Q4 to $2.3 billion. That includes the impact of FAS 167 and coverage is at near all time highs at 2.61%. You can tell we’re feeling better about GE Capital and I’m going to run through some of the detail pages on the impact of FAS 167 on our asset quality, and our losses and expectations for losses. As you call know, we adopted FAS 167 as of 1/1/2010. As a result of the accounting we’ve consolidated the assets and non-recourse liabilities from our off book securitization entities and this page highlights the impact on financial statements. First the balance sheet, as we previously disclosed we put $31 billion of assets on the balance sheet at 1/1 that was split about $18 billion of commercial assets and $13 billion of consumer assets. If you include the retained interest which was already on our books the majority of these assets have gone into financing receivables so we added about $40 billion of financing receivables. We added a line in the liability section of the balance sheet for the non-recourse securitization debt. In addition, we added $1.7 billion to the receivable reserves as of 1/1 and I’ll show you how that impacted us by the end of the quarter. The impact on our leverage and capital ratios was very small as you can see the measurements here. We gave you the details of these measurements in the supplemental schedules. Our reserve coverage went up a small amount reflecting the mix of consumer assets and as we showed you in December at the GE Capital update, going forward from January 1 through the end of the year, now we have the earnings from the higher on book assets, that’s going to be mostly offset by not having anymore securitization gains and in 2009 on a comparable basis we had $1.2 billion of securitization gains that will be zero in 2010. I’ll show you more on this in the reserve coverage page coming up but it’s pretty much exactly what we had previously disclosed on 167. On portfolio quality, an update on delinquencies and non-earning assets that we give you every quarter. On the left side are the commercial equipment finance delinquencies. Thirty day plus delinquencies for equipment are down 10 basis points from Q4 to Q1. It’s driven by the America’s delinquency was down 18 basis points and for Europe and Asia delinquencies were about flat. Ex. 167 commercial non-earning assets declined $300 million in Q1 versus Q4. We had $700 million of declines in CLL and GECAS offset by a $400 million increase in real estate so we continue to see non-earnings go up in real estate offset by non-earning declines across the rest of the commercial portfolio. Real estate delinquencies did go up 75 basis points in the quarter a little under 5% and non-earners were up $500 million including 167 as I said. On the right side you can see the delinquency data for consumer. In total, delinquencies were down 13 basis points in the quarter that was driven by a 43 basis point decline in North American Retail delinquencies. Mortgage delinquencies rose 23 basis points driven by an increase in our Australia/New Zealand portfolio. In ANZ we consolidated some call service centers during the fourth quarter and the first quarter and we had some operational issues. I’d say they’re not really indicative of the portfolio itself we continue to have mortgage insurance across the entire portfolio and we believe the delinquency trend will level back off in Q2 when we get the call centers back in line. The real positive in mortgages though comes in the UK you see the 30 day delinquencies declined 65 basis points in the quarter and we continue to realize net gains versus our marks on our foreclosed properties which is a good sign. Global banking delinquencies were flat at 4.53% pretty stable. Overall, consumer non-earnings were also down, they were down $400 million ex. FAS 167 and the overall percent of non-earnings declined by 19 basis points. Pretty good signs that continued stabilization across very broad portfolio in commercial and consumer receivables. Next an update on reserve coverage. Reserves ended the quarter at $9.5 billion and coverage increased at 2.61%. Here’s where you do see some impact of the 167 consolidation. At the end of the quarter we had $1.5 billion of reserves that were associated with the newly consolidated receivables, $1.4 billion of that relates to consumer so you can get a feel for the mix. We booked $2.3 billion of provision for losses in the quarter, that was flat with last year’s Q1 but it was down $600 million from Q4. Write-offs in Q1 were $2.4 billion and that leaves us with the $8 billion of reserves ex. 167. There’s no release of reserves in the quarter, write-offs were $100 million higher than the provision ex. 167 and with 167 were up to $9.5 billion for reserves. If you look on the right side, the commercial reserves are flat with a strong coverage ratio and lower delinquencies in non-earnings. Consumer reserves were down slightly but the coverage is up as we continue to shrink the consumer book. Both North American Retail and Global Mortgage are flat or improved on coverage. Having these reserves at these levels 2.61 approaching historic highs for total coverage for the company. Next, I think I’ll finish GE Capital section with just another update on the sub business dynamics, these are from the presentation that Mike Neal gave in December and then Jeff and I updated in January. Most of the outlook has not changed. You can see that there are two places where we think the outlook has improved based on what we see and that’d be for our US Consumer and for our Vertical businesses. For commercial lending and leasing we continue to see improving portfolio quality metrics. In the first quarter we had $500 million of losses that’s below last year’s run rate. We originated $700 million more volume than last year at good margins. For the US Consumer we now have a few quarters of improving data, our entry into loss is at very low levels, historic low levels, delinquencies are improving and we continue to see the book decline a bit which helps on losses overall. Losses in the quarter were $400 million very positive, well below last year’s run rate. That is one place where we think things have improved versus what we saw in December and January. Global banking remains stable; losses are in line with our fourth quarter view, not really a change there. UK Mortgage continues to stabilize. I think we’re getting continued positive trend data as the delinquencies have rolled over and started to decline. We still are cautious there; we want to continue to watch what happens with house prices and unemployment in the UK before we get a full recovery. Verticals, I’d say this is another area where we think things have actually improved from our December and January outlook. GECAS and the Energy Financial Services business are both performing better in Q1 and the outlook remains positive. Even in the airline industry where we have some restructurings we’re managing those within our plan. Commercial Real Estate remains tough. Although the pace of the valuation declines is moderating, as you see in the press, we still had $600 million of impairments in Q1 and that would be above our original total year estimate if that run rate continues. Overall though if you think about the metrics around delinquencies, non-earnings losses, reserve coverage, everything appears to be heading in a positive direction here for GE Capital. One final point on Capital, our historical practice is that we provide some RE financial information for GE Capital Services, or GECS when we announced the earnings, that’s the summary registrant. Starting today we’re also going to be providing that information GE Capital Corp. and we’re going to be filing an 8-K sometime today with more income statement and balance sheet details so you don’t have to wait for the 10-Q for that information. The other thing is now that GE Capital Finance equals GE Capital Corporation things are just a lot simpler and you’ll see that in our reporting. Next I’ll shift from GE Capital going to the other businesses, I’ll start with NBC. If you look, for the quarter, revenues of $4.3 billion were up 23%, segment profit of $199 million was down 49%. You can see over on the right side if you adjust for the impact of the Vancouver Olympics revenues were flat with last year and segment profit was up 1%. Jeff Zucker and the team did a great job in the quarter. Dick Ebersol and his team did a great job with the Olympics; the ratings were up 14% versus Torino. We had around $800 million of revenue and as we said previously, we thought the loss would be somewhere around $250 million in the quarter. In the end, the sales were better; we had a loss in the quarter of $223 million on 100% basis or $194 million at the GE level. In the quarter, cable continues its leadership performance, revenues of $1.2 billion were up 3% and segment profit was up 4% led by entertainment. USA had its 15th straight quarter as number one, Bravo posted its 18th consecutive quarter of ratings growth, Oxygen had its highest ratings quarter ever and even on the cable news the revenue and op profit was flat in the quarter, pretty good performance in this environment. CNBC continued its lead in business news. NBC had a few milestones; we beat CNN in prime for the quarter and total day for March. If you go to broadcast, revenues at $2 billion were up driven by the Olympics and the op profit was down driven by the Olympics, the same reason as I said for the total business. We’re seeing some really good recovery in the ad market. Local ad market was up 10% in the fourth quarter, local ad market was up 15% in the first quarter, scatters up over 20% on both the network and on cable leading into the upfront and that’s a really good outlook as we go into the upfront. You might have missed this; we did a lot of shuffling in the lineup in the first quarter. You may not have realized it but we are reprogramming at 10:00pm, ratings are up 45% and Jay Leno is back in Late Night and he regained his number one position. Lots of progress heading into the mid May up fronts here. Film and Parks showed a lot of signs of improvement in the first quarter. Revenue was up 14% and op profit was flat. The box office results, we did fall short of our expectations but that was partially offset by less second quarter pre-promotion for movies. DVDs had a good quarter; we had five million units led by Couples Retreat. Parks also had a good quarter highlighted by the opening of the Universal branded park in Singapore. We had slightly lower attendance overall in the two parks but that was mostly offset by higher per capita spending. Digital continued to have some highlights, hulu remains the number two video site and it’s had continued strong growth and we’re working our way through the regulatory reviews for NBCU with the Comcast deal and we’re just going to continue to cooperate with the FCC and the Department of Justice, the hearings in Congress have concluded and we’re into the comment periods now and it’s just a long steady process and we’ll cooperate fully as will Comcast. Overall, Jeff Zucker and the team accomplished a lot this quarter. The Olympics gave us a great platform to revamp 10:00pm and Late Night and the ad market outlook continues to improve. Next is Tech Infrastructure. Here the headline results for John Rice and the team look for challenging than they really are because we had some one time items from last year that don’t repeat and we covered those a lot last year in the first quarter and I’ll cover it in more detail when I get to Aviation. The reported numbers of revenue down 9% and segment profit down 18% are more like revenue down 6% and segment profit down 1% when you adjust just for the Aviation business transactions. Operationally the business is clearly doing better than the headline numbers. If you look by business, I’ll start with Aviation, first quarter orders of $4.5 billion they were down 12% year over year. Major equipment orders of $2.1 billion were down 21%. We had $600 million of commercial orders and $1 billion of military orders; military orders were down about 9%. The backlog ended the quarter at $19.8 billion, flat with Q4 and down 9% from last year. Service orders were down 3%, commercial spare parts orders were $19.3 million per day which was reported down $11 million but if you adjust for the 2009 AV all order which we also covered last year, they’d be up about 1%. Military service orders were down about 8%. If you at the first quarter last year we did have two transactions we sold the Times Microwave business and we had a gain in our ATI service business. This year in the first quarter we had a gain from a service licensing facility in China, as I mentioned. If you look, last year’s gains were $362 million positive this year’s gain was $74 million positive. If you adjust for those, revenue would have been down 8%, segment profit would have been up 1% on an operating basis. If you look at the results in the quarter on revenue and op profit the impact of the lower volume we had higher R&D spending and that was more than offset by positive pricing and variable cost productivity if you take out the deals. Healthcare, the healthcare team had another strong quarter; orders of $3.8 billion were up 5% and equipment orders were up 8%. Diagnostic imaging orders were up 10% in the quarter. For total orders, EMEA was up 7%, its broad global growth, Asia was up 20%, China was up 28%, and India was up 54%. The US was flat, we saw equipment orders down 2%, service orders up 3% and US equipment orders definitely slowed from the 9% growth we saw in the fourth quarter and it looks like when you go back and you look at the fourth quarter some of that strength came from hospitals and budget timing that didn’t carry into the first quarter as positive as we were expecting. Still, you look at the quarter for the team, the revenue of $3.7 billion was up 5% that was driven by the equipment revenue up 6% and service up 4% and segment profit was up 21% as the team delivered strong productivity and the volume more than offset the price pressure. We entered Q2 with a pretty good backlog, a healthy increase in the backlog. Transportation, this business continues to be impacted by just a really tough environment. Orders $936 million were flat, we had strong equipment orders $440 million those were up $290 million driven by locomotive orders internationally. We had one great order in South Africa, 100 locomotive kits that generated most of the positive on equipment. That was offset by service orders, they were down from the lack of the comparable order to last year’s $300 million China wind gear box order so flat overall equipment versus service. Revenues of $766 million were down 35% that’s driven by the equipment being down 50%. We shipped 79 locomotives this year in the quarter versus 183 last year. Service revenues were also down 20% because of the lower overhaul activity. Segment profit of $115 million that was down 47% it’s really just driven by the lower volume and higher NPI spending. We are seeing signs of real pick up in our activity from North American customers which obviously will be positive as we reduce the slack in the system and all the parts and locomotives. Overall for the Tech Infrastructure business we see some early signs of improvement in Aviation traffic, rail freight traffic, and the normalized operating results are as we expected in the quarter. Next is Energy. John Krenicki and the Energy team just had another great quarter. Revenues of $8.7 billion were down 5% and with strong margin expansion they delivered segment profit of $1.5 billion up 12%. You can see the business results on the bottom left both positive for energy, oil and gas, I’ll cover energy first. Energy orders of $6.2 billion they were down 15% versus last year. As Jeff mentioned, we had $1.2 billion worth of orders from Iraq slip from Q1 into Q2, which would have led to orders being down 2% the most positive improvement in the trend even though the trends continue to improve sequentially for Energy that would have really changed the dynamics here. We’re going to get that order in the second quarter, it’s after the election, it got caught up in some administrative processes and that’ll be a very big positive for the quarter. Thermal orders of $500 million they were down 56%. We had orders for 10 gas turbines versus 18 last year and the Iraq order was for an additional 25 gas turbines so that’s important for our backlog. Wind orders of $1.2 billion they were down 28%. We had orders for 494 wind turbines versus 724 last year. A couple of positives on orders, the derivative orders were up 17% and [Yenbacker] orders were up 12%. Order prices for thermal were down 1% and for wind they were up 6%. Service orders in the business were down 5% driven by lower spare parts and tough comparisons driven by a large Iraq service order last year that didn’t repeat. Revenue down 7% driven by lower volume, thermal unit revenue was down 14%, really driven by lower balance of plant shipments, that’s about $400 million of non-GE content that didn’t repeat so it’s not a lot of margin that helps with the margin leverage that you see, even though the revenue is down. We shipped 41 gas turbines versus 42 last year and wind units were down to 349 from 433 last year and service revenues were flat. Segment profit was up 12% that’s driven by positive value gap; we had over $200 million of positive price in the energy business and $100 million of deflation which more than offset the impact of the lower volume. Oil & Gas, Claudi Santiago and the Oil & Gas team had another strong quarter. Orders of $2 billion were up 8%, we continue to see very strong global demand. Equipment orders of $1.1 billion were up 1% and service orders of $900 million were up 19% driven by our expansion of our long term service contracts growth in countries like Nigeria, Malaysia, and Egypt. Revenues of $1.6 billion were up 3% and the equipment revenue was down 2% but service revenues were up 11% driven by strong rotating parts overhaul and upgrades. Segment profit of $191 million was up 7% also driven by the positive value gap. Another very strong quarter from the Energy team. Finally, Charlene Begley and the Home & Business Solutions team had another strong quarter. Revenues of $1.9 billion were up 1%, segment profit of $71 million was up 58%. Lighting had a good quarter for us, it was driven by the restructuring benefits that we invested in last year and continue to invest in this year. We also had strong global demand and some positive price. Revenue was up 10% and Lighting made about a third of the op profit in the quarter. Appliance revenue was down 4%, retail sales were about flat, contract was down 16%, we continue to see a challenge in multi-family housing but appliance are in the other two thirds of the profit in the quarter. If you look, we continue to launch new energy efficient products to drive growth. We’ve got the LED side-by-side refrigerator for the second quarter and other E*Star refrigeration models are also being launched. E*Start is an interesting program, it’s a program that’s put in place to incent manufacturers to develop energy efficient products in the US and we continue to invest in building those products and our net income was up over two times last year’s Q1 driven by the E*Start credits. Overall a great performance for the Home & Business Solutions. With that, let me turn it back to Jeff.
Jeff Immelt: We’ve been using a framework to describe how we look at the company and how we view it going forward and I just wanted to give an update of the framework. We talked about Industrial earnings for the year being about flat, we think we’re on track there. Good new products and service growth and lower costs, global expansion, there is still some excess capacity in certain sectors but we feel pretty good about where we’re positioned as the recovery continues. Media, we have as negative, we think our worst quarter is behind us with the Olympics. Cable continues to be strong, the ad markets, as Keith said, have real strength. Film remains challenged but we should see growth in NBCU for the balance of the year. We had had GE Capital as flat in the framework; clearly this is going to grow for the year. We’re well positioned for upside as Keith said, commercial real estate is challenged but valuation declines are moderating and we think this will be now a positive for the year. Corporate we had as flat, I think everything in Corporate is as we expected, we may use this as an opportunity to position to do some more restructuring. Cash, between $13 and $15 billion we think we’re on track for that with working capital improvements offsetting lower progress payments. We would view the 2010 framework as achievable with upside potential. The earnings growth for the remainder of 2010 will be there so the company will show earnings growth over that time period and we may do more restructuring and financial asset sales as we look forward to the future. We feel good about the quarter and we feel good about the way the team performed in the quarter. We think the quarter says a lot a good things about the company going forward. The last page, from an investor standpoint, in terms of how we manage the GE team, we’ve talked about two keys, one is attractive financial profile as we come through the downturn of earnings going from ’09 to ’10 and then as we get the GE Capital snap back and recovery good growth in ’11 and ’12. Just the massive amount of financial flexibility we have from a cash standpoint with $10 billion plus on the balance sheet now, we should have about $25 billion by the end of 2010 if we complete the Comcast transaction and then more cash available as time goes on. These are the ways that I manage the GE team, this is very important from an investor standpoint. What do we know about these things from the first quarter? Let me just recap: The GE Capital losses seem to have peaked and Commercial Real Estate losses are manageable. I think that’s an important investor key in terms of how you think about looking at the company going forward. I think that leads to the second point, earnings growth for GE should be positive for the balance of ’10. The GE Capital rebound has begun and the macro industrial indicators are improving. I just think we’ve turned the corner here, we’re well positioned and I think GE Capital’s improvement gives us some spring in our step and we feel good about that. The combination of strong operations and dispositions are generating substantial cash at GE. Again, this is not something that is just happening. This is just happening as we speak and this will continue to accumulate through the year. We have choices; I think we’ve already said that we want to grow the dividend in line with earnings in 2011. The potential remains for a redemption of preferred stock. We’ve got opportunities for a buyback as time goes on. We always review strategic acquisitions and we will always keep GE Capital safe and secure. We just have tremendous cash optionality for the rest of the year. I leave you this quarter just with this vision of the company, of an attractive financial profile with lots of financial flexibility and I think the first quarter just demonstrates that we’re well on the way to this kind of performance in the future. With that, Trevor, I’ll turn it over to you.
Trevor Schauenberg: We’re ready to open the lines for questions now.
Operator: (Operator Instructions) Your first question comes from Chris Glynn – Oppenheimer
Chris Glynn – Oppenheimer: On Industrial orders outlook, excluding the Iraq movement into the second quarter, what’s your outlook there and do you think 1Q looks like a low here, on the equipment side in particular?
Jeff Immelt: Iraq is a substantial order, healthcare looks pretty good. We think the Aviation cycle, similar to what you hear from other people, improves as we go through the year. Energy, we always track commitments into orders. I think the aero derivatives and [Yenbacker] continue to leading indicators of customer interest from an energy standpoint. Transportation there was probably 5,000 locomotives parked at the end of last year, there’s more like 4,000 parked now. We’ve got lots of global demand there. You basically haven’t seen any impact of stimulus in the company. A lot of the smart grid orders were pushed from first quarter to second quarter, it’s because there was some confusion around the tax payments. I think those are yet to be had. I think the profile for the balance of the year is going to pretty positive.
Keith Sherin: I think if you look at the pace of change on orders, going back through the last several quarters, you can see it. The second quarter last year was down 42% on equipment, third quarter last year was down 32%, fourth quarter was down 14%, this year we were down 10%, we’d be flat if we had the Iraq order in there. I think the pace and the comparisons support continued gradual improvement. As you know, they’re lumpy, we’re going to have some big orders that drop into different periods but I think overall the trend is continuing.
Chris Glynn – Oppenheimer: Looking at the cash on hand, the improvements at Capital and some of the commentary just to my prior question, anything that could cause dividend increase be pulled forward into 2010?
Jeff Immelt: I can’t comment on stuff like that. I think we have a strong intent to create financial flexibility, we’ve got good optionality, and we’ve got a set of priorities as a management team and as a Board in terms of how we look at it. I think what Keith said, in February there is a dividend increase in your future and I’ll just leave it at that.
Operator: Your next question comes from Scott Davis - Morgan Stanley
Scott Davis - Morgan Stanley: Can you give us a little bit more sense of what’s going on at Shinsei bank? I guess the confidence that you fenced in these losses with the charge that you took.
Keith Sherin: As you know, we closed this in the third quarter ’08 and we have in the loss agreement with Shinsei but the economy’s been terrible and there have been a lot of different changes in the legislation and the regulatory environment. For example, in the legislation, lenders in the consumer finance base are no longer going to be allowed to give loans to people who have greater than 30% debt to income and that will go into affect in the end of June 2010. That’s been known for about 18 months but that’s getting very close and is increasing claims proportionately we don’t know. There’ve been some changes from a regulator perspective where customers who file a grey zone claim are no longer flagged in the credit bureau system and so does that change the behavior of claims? We’ve seen a pickup in the last several months in terms of the overall claims severity, the number of claims have gone down, the average amount per claim is higher than what was in our model and it’s volatile. What I would say is we update that model every quarter, we’ve done a lot of work on what do we see as claim trends, what could the liability be, what’s the sharing with Shinsei what’s left and we added $380 million to the reserve this quarter. A couple of points, number one we still have not used up the amount that we established for the potential liability when we formed this transaction with Shinsei so there’s an amount left from the original deal that’s still there. In addition to that we’ve booked up $500 million of addition provisions between the second quarter last year and the amount we did here in the first quarter. Our books a little different than competitors, we are no longer, we capped everybody in the book at 18%, we have not been doing grey zone since June of last year. We’re in runoff mode; we reduced and blocked a lot of the accounts from even getting additional loans. I think what I can say is it’s been volatility, it’s higher than what we thought; we booked an amount we think is consistent with what we think the liability will be but we’ve got to watch what happens over the next several months.
Scott Davis - Morgan Stanley: On the cash balances you guys have been building, are you still anticipating the need to put $2 billion of cash in GE Capital in 2011 or is that something that maybe given your experience is looking a little bit less necessary?
Keith Sherin: We originally had that estimate when we were looking at the December outlook for Capital around $2 billion. I think if you look at the way the math works on the income maintenance agreement it should be less than that today if thinks continue. If you look at the first quarter interest fixed charges were somewhere around $4 billion so 10% of that is $400 million. In the quarter, GE Capital made $200 million of pre-tax earnings so if you just did it on a quarterly basis the payment for the first quarter would be $200 million. I don’t know what will happen annually from a pre-tax and from an interest but that gives you an order of magnitude if everything was just straight line what it would be. We think it’s going to be less than the $2 billion but we have to see what happens with the rest of the year and whether we have additional restructuring. Right now that outlook looks positive.
Scott Davis - Morgan Stanley: I want to talk about asset sales, I think at one point or another you talked about selling private label credit cards a couple years ago and now there seems to be a liquid market out there again, is this something that you’re reconsidering?
Jeff Immelt: Not specifically. I think what we’ve tried to do is create a path to $440 billion of E&I that really doesn’t require any special dispositions, it’s 100% in our control. That’s the way we look at it right now and then I think we just have to see how these businesses perform, how they capital markets look over the next year or so and make strategic decisions accordingly. That business had done extremely well. The whole competitive dynamics are different than they were a couple years ago. We’re really focused on creating this great specialty finance GE Capital business that’s going to be high margin into the future. $440 billion is in our control and doesn’t really require any big dispositions at all.
Operator: Your next question comes from Steven Winoker – Sanford Bernstein
Steven Winoker – Sanford Bernstein: On net charge offs and provisions, net charge offs as you pointed out were higher than provisions by about $150 million or so and so the reserve release if you exclude FAS 167 did take place even if you don’t round it, it was small but it was still a reserve release.
Keith Sherin: Actually it wasn’t a reserve release, provisions were a certain amount and losses were an amount $100 million higher than that so it’s not a reserve release when you actually use it to write off losses.
Steven Winoker – Sanford Bernstein: Excluding the FAS 167 right?
Keith Sherin: I’m going 8.1 to 8 excluding FAS 167 and we actually had a provision of $1.9 billion ex. FAS 167 and we had a little higher than that in terms of write offs. It’s a write off; it’s not a reserve release. We actually wrote off an asset.
Steven Winoker – Sanford Bernstein: Going forward that leads to the follow up question on the same point, which is so then if you think about timing versus your expectation, how are you thinking about getting to a point in the current environment where you might be able to then talk about reserve releases that are substantive and aggressive?
Keith Sherin: I think you’ve got to think through the cycle. You ended up with delinquencies rising; as delinquencies rose you posted more reserves. I think write offs will lag the posting of the reserves as you end up dealing with and resolving accounts that were related to those delinquencies that became part of your reason for putting up a reserve. I don’t have a quarter though to pick the timing. I think if you just looked at the rest of this year, if you look at the quarter we booked $2.3 billion of provision, if we kept that provision roughly around that amount and we kept write offs around that amount you’d end the year with $8 billion of reserves but you would have substantially less provisions for the remainder of the year than you had last year and I think that’s a positive. I think eventually you’re going to have a point where you’re not going to have even to need those reserves that you have where write offs will be less than the provision you put up. We’re a little too early to call that today, I would say.
Steven Winoker – Sanford Bernstein: Back on the lake issue on Shinsei, you mentioned a ceiling in that, can you give us a sense for given the trajectory there or what the ceiling is agreed between parties here should Japan not get better?
Keith Sherin: I didn’t mention a ceiling, I don’t think there is a ceiling, and I think this is a thing that we have an agreement with Shinsei where we will be responsible for that liability. I think that whatever the ultimate amount is, even if you say it’s worse than what we’ve posted this year I think it will be manageable for us.
Steven Winoker – Sanford Bernstein: You’re locked step with them wherever it goes?
Keith Sherin: Absolutely.
Steven Winoker – Sanford Bernstein: On the Corporate item side, I think it was around something like 25% to 30% down year on year. Can you give us a sense is it restructuring, pension, cost reduction?
Keith Sherin: On Industrial we have less restructuring offset partially by higher pension. Pension is up about $200 million and we did about $0.03 of restructuring in the Industrial Corporate last year, we did about $0.01 this year and the security gain is in there as well.
Steven Winoker – Sanford Bernstein: On the M&A pipeline, when you talk about the flexibility that you have in that last slide, and we’ve talked previously about thinking about dilution that’s going to be created from NBCU etc. how are you thinking about that pipeline and the most likely segments still in terms of where you are hoping to really close something significant over the next couple of years?
Jeff Immelt: When you look at the infrastructure portfolio today we all have businesses that we can invest in and like growing. Again, as I said earlier, we like bolt on acquisitions that are financially attractive where we have leadership teams that can step in and run those acquisitions working with our partners. That’s the way I would look at it. We’ve got a decent pipeline out there but I think we’ve got lots of options, the redemptions of the preferred stock, the buyback potential. The way I would look at our financial picture is that that’s pretty strong and with GE Capital’s earnings rebounding that’s quite positive. We just have lots of options on this last page in terms of the things we can do and still grow earnings and still have lots of cash.
Steven Winoker – Sanford Bernstein: Are you prioritizing in that comment therefore?
Jeff Immelt: Not necessarily. Again, I think we just want to do what’s in strategic best interest for the company going forward. I just think the goods news is we’ve got lots of ways to create shareholder value.
Operator: Your next question comes from Jeff Sprague – Vertical Research Partners
Jeff Sprague – Vertical Research Partners: A couple more things on Capital and how to think about reserve release. Obviously whether it was founded or unfounded you guys took some criticism on the way up as losses were mounting that provisioning and allowances were low and the argument was the accounting made it all formulaic and the provisions would come up as the losses came up. Therefore, I’m wondering how formulaic it is on the way down and if in fact you could give us the roadmap that we should be thinking about whether it’s the level of write offs, the trend in delinquencies, a certain ratio of provisions to losses or something that for those of us on the outside looking in can try to get some kind of roadmap of how to think about this inflection point.
Keith Sherin: There are a couple ways to think about it. If you actually look at the financial statements and you look at what we booked as a reserve for losses last year each quarter and you look at what we booked this year in the quarter and you compare that going forward you can get a pretty good feel for how you think, if nothing else change and we had a normal first quarter and you continued at that level what would be the impact. We booked $2.3 billion of provisions in the first quarter, that was flat with last year’s first quarter but it was down $600 million from the fourth quarter. If you continue with $2.3 billion and you compare that to what we booked last year in the second, third, and fourth quarter you’re going to be booking less provisions. I think another way to look at it is we made $600 million in the first quarter in GE Capital, I think it’s a pretty clean quarter. I think if you annualize that we made $1.7 billion in GE Capital Corp last year and the total year and if you annualize the $600 million you’re above that, that’s another way to think about it. Yes, the reserves that we’re going to post and the write offs that we’re going to have are going to be formulaic based on the quality of the book. The uncertain area is probably real estate. The losses and impairments are higher than our run rate last year a little bit in first quarter but you see some other signs there. Again, that gives us uncertainty but if you look across the rest of the book around delinquencies, non-earning assets, and the provisions that we’ve had to provide I think those are two pretty good ways to look at it.
Jeff Sprague – Vertical Research Partners: On Environmental, it doesn’t always rise to the surface but it kind of popped up a little bit more than normal in Q4 and we’re hearing it again today in Q1. You guys have your arms around what we should expect there for the year?
Keith Sherin: Environmental in Q1 was less than $50 million; I don’t think it was a substantial number at all. I don’t see Environmental in the year being a material item here that we would think we have to do anything special on. I think the one big project obviously to watch is the Hudson, we think we provided for what we think we need to do based on where we are with that and we’ll watch how that develops over the year. I don’t think there are any other individual projects or anything that would rise to a discussion level.
Jeff Sprague – Vertical Research Partners: On GE Capital tax I don’t think I totally followed you when you were going through the whole description of the puts and takes. Clearly we had the year ago comp issue but was there something in the going forward on credits that you mentioned I heard an $800 million number.
Keith Sherin: The $800 million is the amount of lower tax credits in GE Capital year over year first quarter last year. $800 million if you look off the income statement and basically the $700 million or one time tax benefits we had last year in the first quarter, if you remember last year that was offset by estimates where you true up for the total year rate at GE Capital and GE. Even if you adjust for those this year in the first quarter we continue to have some of those, you’re $700 million higher taxes year over year in the first quarter 2010 versus 2009, consolidated company.
Jeff Sprague – Vertical Research Partners: Can you give a little more color on price you did, you talked about the positive value gap, it sounds like price is down a little bit in gas turbines, up in wind, how about across the rest of the portfolio?
Jeff Immelt: If you look at what’s in backlog, you’ve got positive price at backlog. What we call the new order of pricing index in Q1 was also positive. I think that’s a good sign and deflation continues to be pretty strong. This is something that we watch the value gap very closely and I think we feel pretty good about it.
Operator: Your next question comes from Steve Tusa - JP Morgan
Steve Tusa - JP Morgan: If provisions are lower than write offs isn’t that a release in the reserves?
Keith Sherin: No, it meant that you actually wrote off some asset accounts, I didn’t release any reserves, I actually took assets down by writing off an account.
Steve Tusa - JP Morgan: It’s not that simple as looking at your total write off number versus what your provision.
Keith Sherin: The amount went down but it’s because, whether you call it a clean up or whatever, the write offs in the quarter were $2.4 billion and the provisions were $2.3 billion so I actually stepped into and whatever you want to call it, I finalized the write off on certain credit accounts that were on the books. I didn’t release any reserves here. I think you’re going to see that phenomenon. It’s not a reserve release when you actually have write offs above the provision, we actually booked $2.3 billion of provision, we didn’t release any reserves.
Steve Tusa - JP Morgan: Going forward that trend in write offs is the $2.4 billion given the leading indicators, is that what you’re referring to as a peak number are we going to go through a couple more quarters here where you have this headline or reported mismatch in that number. Over the last couple quarters you guys have clearly the provisions have been much, much higher than the write offs. How do you look at that $2.4 billion going forward?
Keith Sherin: I think the more important number is what’s the provision going to be. The change in write offs is going to what affects the net reserve balance that’s left but I think the provision number is what I talked about as being the thing that you think you really should be watching. I think write offs have lagged provision, as you said, and theoretically they should be above provisions as you come out of the credit cycle. I think the more important number is that provision and if we’re flat at $2.3 billion you can look at what that will do in terms of benefits versus the rest of the year.
Steve Tusa - JP Morgan: On Real Estate, you wrote down $600 million in assets, is there any change in the ending on realized loss, I think it was $7 billion at the end of the year, is there any change in that?
Keith Sherin: I don’t have an update of that in the quarter; we will update that in the second quarter and give you that during the second quarter. I do not have an update on that right now. There was a lot of depreciation and a lot of those write offs do eat into that, I don’t know what the net number will be after you get done with that analysis though.
Steve Tusa - JP Morgan: A lot of questions around capital allocation, if EPG too early for you guys to get a little more specific on your priorities, I think it’s obviously a big question out there and you guys have talked about it a high level all the various options. Do you have enough visibility on the year end cash to get a little more specific at EPG? With regards to the dividend, would you reinstate the GE Capital dividend prior to raising the dividend at Industrial or is that all in one swoop?
Jeff Immelt: I would say that the timing on the NBCU transaction isn’t in our control. Things seem to be moving in an orderly way but that’s out of our control. Beyond that I’d say EPG is a good time for us to give a pretty good vision for how we view capital allocation going forward and so I do think that’s a good thing, a good subject for that meeting and how we’re thinking about it. The GE Capital dividend, the GE dividend can grow independent of the GE Capital dividend but it is a high priority of Keith and mine and the management team to restore the GE Capital dividend in a timely fashion. The GE dividend I view as being independent of that.
Keith Sherin: The comments that we made previously about growing the dividend in ’11 don’t assume that we grow the GE Capital dividend.
Operator: Your next question comes from John Inch - Merrill Lynch
John Inch - Merrill Lynch: I think at the December 8th meeting you called out perspective provisions in 2010 of $11 to $12 billion. If you annualize the $2.3 billion you get $9 billion, doesn’t that theoretically suggest in terms of just pure EPS that 2010 could be somewhere between $0.10 to $0.20 above last year just on that basis?
Keith Sherin: I think we have two categories, we have losses and impairments. You also have the FAS 167 which we added those receivables and that will result in higher losses. What we said in December was that the base case of around $12 billion on losses and impairments another $1.5 billion for the 167. If you look in the first quarter the actuals on that same basis were $3 billion. You annualize that to $12 to $13.5 billion I think it’s a little less than what you said but it’s directionally correct.
John Inch - Merrill Lynch: What about the tax credits, you identified that they had come down that much. I’m assuming these trends are likely to sequentially prevail even though there’s a little bit of seasonality, does this suggest given how much they were down that we could be looking at a tax expense in 2011 or what are the puts and takes there, for capital specifically?
Keith Sherin: Actually the first quarter GE Capital tax credits are pretty representative of what the structural benefits are for GE Capital. If the current legislation, first of all the part has to get enacted which we believe it will, if that legislation and that framework stays in place the tax credits that you see in GE Capital in the first quarter are pretty representative of our run rate on a quarterly basis. What will change is as we have additional pre-tax income and you can see the increases in pre-tax income, those will get tax provisions against them of whatever the incremental rates are in the 30% to 35% and you would have to have several billion dollars increase in pre-tax income to start to offset those tax credits on a quarterly basis, $1.5 billion of pre-tax would offset the tax credits in the first quarter then you’d have zero as a rate. I think the structural benefits in the first quarter are pretty representative of what you’re going to see going forward if the legislation stays in place and then as we have higher pre-tax income the tax rate will rise in GE Capital.
John Inch - Merrill Lynch: It sounds like it could still be headed for a net tax credit in 2011 based on your comments, is that the implication?
Keith Sherin: It depends upon what pre-tax is in 2011. I think the tax credits that you see on a quarterly basis you can kind of say that’s structurally what we expect in 2011, but then what happens to pre-tax.
John Inch - Merrill Lynch: I want to go back to the Corporate line question; I think the $295 that you did in the Corporate items in the eliminations line was down pretty substantially from the run rate. Then the Corporate line in GE Capital was actually up a lot year over year. Has there been some sort of reallocation between the two buckets? Maybe you could just give us a little bit of a walk of why is it only $295 and is that actually a run rate on a quarterly basis for that line item specifically?
Keith Sherin: $295 for the Corporate items in eliminations in the schedule that’s less restructuring offset by more pension basically that’s why you’re down $100 year over year. On the Capital side, if you look, we had capital finance equals GECC now so some of the things that were in Cap Corp previously are probably in what we call GE Capital today, Capital Finance, which may be what you’re looking at. In the quarter we had restructuring in Capital Corp about $0.01 we had some marks and impairments in the treasury group and then we have about ongoing about $100 million of ongoing costs associated with running the operation and the overhead and the facilities and global functions.
Operator: Your next question comes from Bob Cornell – Barclays Capital
Bob Cornell – Barclays Capital: The reserves receivables were 2.51. Where does ratio bottom? Historically you guys kept it at 2.62 and the SEC mandated you move that reserve around relative to the loss cont portfolio. Is that what you expect to happen going forward over the next couple years, is that reserve level would drop back to where it had been in the trough in the last decade.
Keith Sherin: The reserve levels will follow the quality in the portfolio. As delinquencies and non-earnings roll over and decline you reserve levels are going to decline. It’s a pretty straightforward relationship I’d say.
Bob Cornell – Barclays Capital: You didn’t comment, I think you referenced the net interest margin but didn’t specifically allude to it. What happened in net interest margin?
Keith Sherin: I don’t have a specific number on net interest margin in the quarter.
Bob Cornell – Barclays Capital: You guys gave a chart in the quarter ago talking about how the margin had bottomed and was starting to rise.
Keith Sherin: I haven’t changed the estimate for the year. I don’t have it updated on a quarterly basis. We said last year it was about 4.6% for the portfolio going to 5% this year, I think that’s still true. The business is still around 3% ROI but I don’t have that updated on a quarter.
Bob Cornell – Barclays Capital: The total provision is 2.3 how much of that provision was the Commercial Real Estate book and how much was everything else? Was $400 million for commercial real estate?
Keith Sherin: In the provision itself, about $200 million. The rest was an impairment not in the loss reserves.
Bob Cornell – Barclays Capital: The impairments was how much in the quarter, you said $600 million?
Keith Sherin: Pre-tax yes, about $0.04 after tax.
Bob Cornell – Barclays Capital: Looking at the provision, is it fair to imagine that the provision ex. Commercial Real Estate comes down from here and that the Commercial Real Estate tracks with that end market goes up a bit. How should we think of if we were to disaggregate those two numbers which would we expect?
Keith Sherin: A way to think about it maybe it’s the debt book and the Commercial Real Estate business is in the financing receivables and will be included in the loss provision results. Our debt book today with a lot of it around 100% loan to value is almost mark to market. Depending upon our commercial real estate values change on the debt book that will show up in the loss provision. On the equity book it’s a longer term view, it’s what our rent is going to do over time, what will happen to occupancy, how do we feel about lease up and releasing properties. We do a pretty big review of that twice a year we do a quarterly review of any troubled properties every quarter. I think in there we had $600 million pre-tax of impairments in the first quarter. I don’t know if that’s a run rate, we have to see what happens to all those dynamics. That’s got a little more volatility in it. I would say on the other side, on the debt side, across the portfolio, as delinquencies have come down and non-earnings have come down I think you’re going to continue to see that positive, the provision will follow that positively, including the debt book and real estate.
Operator: Your next question comes from Terry Darling – Goldman Sachs
Terry Darling – Goldman Sachs: Start with Technology Infrastructure margins which were much stronger than what we were looking for in the quarter. Typically you build from here throughout the year but I’m just wondering if you might comment on that profile that you’re seeing.
Keith Sherin: In Technology Infrastructure I think you’re seeing the strength here is obviously the healthcare business with good earnings leverage, we expect them to continue to have a pretty good year as you go through the year. I think Aviation actually in the quarter gave us pressure obviously, if you ex out those deals the Aviation equipment versus services dynamic should be okay through the rest of the year. Transportation I think is just having a really tough time on equipment but the service business again has continued to be profitable. I think ex the deals would be a pretty good way to look at Tech Infra as you look forward 2Q, 3Q, 4Q.
Terry Darling – Goldman Sachs: You would expect that normal build throughout the year to play out?
Keith Sherin: I don’t know what the build is, I said ex the deals I think the quarter is pretty representative of the way I feel the businesses should be performing as we go through the rest of the year. We’ve got the benefit of the spare parts price increase; our spares orders are pretty good. The service versus equipment mix is remaining positive in the quarter and that should continue through the year.
Terry Darling – Goldman Sachs: I think you’d mentioned a gain on sales of planes and GECAS, can you call out that number for us if you have it?
Keith Sherin: It was less than $50 million; I don’t know what it was. $20 million I’m being told.
Terry Darling – Goldman Sachs: Coming back to the order outlook common carry, I’m wondering if you just fine tune a comment on the orders for the service side of the business. Do you see that as picking up over the balance of the year or is that something we should expect to continue to be at a little bit of a downtrend for a while?
Keith Sherin: I don’t remember what big one time orders we had in 2Q through 4Q last year. I’d expect them to be closer to flat as we go through the rest of the year as a more normal operating indicator.
Terry Darling – Goldman Sachs: A lot of companies talking about in the financial world normalized earnings power and I’m wondering with the trends getting better if you can talk a little bit about that. You’ve given obviously the 440, you’ve talked about where you see the loss cycle going out to 12, maybe refine your thinking on ROA and tax maybe to just sort of finish the penciling out exercise there for us.
Jeff Immelt: We’ve set a two way target for the business an so it’s just arithmetic as you go through that and then the reserves go where they go and how long that takes is how long it takes. Our focus is on having a good high margin, especially finance business.
Terry Darling – Goldman Sachs: Tax is still kind of a wildcard.
Jeff Immelt: What Keith answered earlier is the right answer.
Keith Sherin: Structural credit $1.5 to $2 billion and the current tax legislative regime and on top of that pre-tax income generating positive tax provisions.
Terry Darling – Goldman Sachs: On that regulatory regime any new thoughts on potential change or lack thereof?
Jeff Immelt: We’re all watching at the same time you guys are. We’ll see what happens.
Keith Sherin: The big structural positives are all in place. The grandfather of GE ownership of GE Capital affect we can keep the banks. I think that when you look at the consumer protection it doesn’t really affect us that much. We’re prepared for a different regulator, we think we’re systemically important and we’re prepared for the Fed to be our regulator if that’s the case. I think the teams have done a pretty good job preparing for all that. Details, we’re going to have to see how they work out. The big structural things we feel really good about.
Operator: There are no further questions in the queue. Mr. Schauenberg do you have additional remarks?
Trevor Schauenberg: Thank you everyone for joining our webcast today. The replay of today’s webcast will be available this afternoon. Our second quarter 2010 earnings webcast will take place on Friday, July 16th. As always Joanne and I will be available all day today to take your questions. Thank you everyone.
Operator: Thank you for your participation in today’s conference. This concludes your conference call. You may now disconnect.